Operator: Good day, ladies and gentlemen. Welcome to the NVE Conference Call on Fourth Quarter and Fiscal Year. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions on how to participate will be given at that time. (Operator Instructions) As a reminder, today’s call is being recorded. At this time, I would now like to turn the conference over to your host, Mr. Daniel Baker. Sir, you may begin.
Daniel Baker: Thank you, and good afternoon. Welcome to our conference call for the quarter and fiscal year ended March 31, 2010. As always, I’m joined by Curt Reynders, our Chief Financial Officer. This call is being webcast live and being recorded. A replay will be available through our website, nve.com. After my opening comments, Curt will present a financial review of the quarter and fiscal year, I’ll highlight some business items, and then we’ll open the call to questions. We filed our press release with quarterly and annual results plus our annual report on Form 10-K with the SEC in the past hour, following the close of market. Both filings are available through our website. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties including among others such factors as risks in continued growth in revenue and profits, risks associated with our reliance on several large customers, risks associated with our competitive threats, uncertainties related to research and development contract funding, risks related to developing marketable products, uncertainties relating to the revenue potential of new products, and uncertainties related to economic environment as well as the risk factors listed from time-to-time in our filings with the SEC, including our recently filed annual report on Form 10-K. The company undertakes no obligation to update forward-looking statements we may make. We’re pleased to report strong growth and record revenue, product sales and net income for both the fourth quarter and fiscal year. Specifically for the quarter, total revenue increased 19% to $8.18 million and net income increased 16% to $0.74 per diluted share. For the fiscal year revenue increased 20% to $28.1 million and net income increased 23% to $2.47 per diluted share. Now, I’ll turn the call over to Curt to cover details of our financial results.
Curt Reynders: Thanks, Dan, and good afternoon. I’ll cover quarterly income statement, fiscal year income statement, the balance sheet, and the past five year’s results. As always, we provide more information for the fiscal year end reviews than for quarterly reviews. Starting with the quarterly results, as Dan mentioned, total revenue for the quarter increased 19% to $8.18 million. Product sales increased 17% to a record $6.66 million. This increase was despite a comparison to an extraordinary quarter a year ago. Quarterly products sales may have been held by recovering industrial market tight inventories in the industry and long lead times from some of our competitors. Quarterly contract R&D revenue was the highest it is been in the past five years increasing 27% to $1.25 million, due to new contract and increased activity on certain contracts. Total expenses increased 8% to $918,000 for the quarter. Selling, general, and administrative expense increased 10%, compared to the fourth quarter of fiscal 2009, primarily due to increased commissions and the timing of professional services. Research and development expense increased 6%, compared to the fourth quarter of fiscal 2009, due to new projects and additional personnel. Gross margin remained very strong, although it decreased to 71% of revenue, compared to an extraordinary 74% last year, due to our higher percentage of total revenue from contract research and development, which generally a less profitable than product sales. With good margins on the increased revenue, operating income increased 16% to $4.93 million in the quarter and operating margin was 60% of revenue. Interest income increased 32% to $440,000 for the quarter, due to an increase in interest-bearing marketable securities. Income before taxes for the quarter increased 17%, compared to the fourth quarter of fiscal 2009 to $5.37million and pre-tax margin was 66%. The provision for income taxes was a higher percentage then in the prior year quarter 33% of income before taxes, compared to 32% last year, primarily because more of our income was subject to higher federal and state effective tax rate. Net income for the fourth quarter increased 16% to $3.6million, or $0.74 per diluted share, compared to $0.65 last year and net margin was 44%. For the full fiscal year, our growth accelerated despite a challenging economy. Total revenue increased 20% to $28.1 million for the year, compared to 14% revenue increase for the prior year. Most of the $4.77 million revenue increased was from product sales, in percentage terms product sales increased 15% and contract R&D increased 50%, compared with last fiscal year. Within product sales strong sales into medical device markets more than offset weakness in industrial markets. The 50% increase in contract R&D was due to several new contracts and increased activity on certain contracts. International sales accounted for approximately 49% of our revenue in fiscal 2010, up from 47% in fiscal 2009. There is more about geographic areas in our 10-K. Fiscal 2010 revenues increased in all three geographic areas we report, 15% in the U.S., 14% in Europe and 79% in Asia. High rise from Asia included a new distributor in China, Shanghai Channel and a number of customer visits. Net income increased 23% for the year to $12 million and comprehensive income, calculated as net income plus the unrealized after-tax net gain from marketable securities was $13.4 million. Diluted net income per share increased to $2.47 for the fiscal year, compared to $2.04 last year. We breakdown customers and company’s sponsored R&D activities at fiscal year end. With our increase in customers sponsored contract R&D in the past fiscal year, we spend a total of approximately $5.22 million on customer and company’s sponsored R&D activities, up 29% from $4.05 million in the prior fiscal year. The total of customer and company’s sponsored R&D activities was 19% of our total revenue, which is significant spending. Large R&D investments over the years have resulted in significant new products, technologies and product opportunities. Dan will discuss some of those in a few minutes. We entered this fiscal year with a solid contract R&D backlog of approximately $1.53 million and approximately 49% of the backlog was from non-government entities, the highest percentage in many years. We believe our transition to non-government funding from historical governments support both well for future commercialization and product growth. Our employee count increased to 52 from 50 during the fiscal year. Despite the increased our revenue per average employee in fiscal 2010 increased to approximately $554,000 per employee from $467,000 in fiscal 2009 and $419,000 in fiscal 2008. So our revenue per average employee has increased 32% in two years. The revenue per employee increases were due to the hard work and skill of our employees as well as more efficient equipment. Gross margin for the year was 70.5% of revenue strong validation of the unit neatness and value of our products. Gross margin was down slightly from 71.2% of revenue last year due to the shift in revenue mix toward contract R&D, which generally less profitable than product sales. Annual operating pre-tax and net margins for fiscal 2010 were the best in our history and among the best in our industry. Operating margin was 58%, pre-tax margin 64% and net margin 43%. Higher earnings quality and strong operating cash flow strengthened our balance sheet considerably, as of March 31st cash plus marketable securities stood at $49.5 million, an increase of $15.2 million in the fiscal year. The increase in cash plus marketable security during the fiscal year was primarily due to $12.5 million in operating cash flow in a $2.2 million net increase in the value of marketable securities due to market price changes. Purchases of fixed assets were approximately $306,000 for fiscal 2010. The soft economy helped us purchase capital equipment at favorable prices. Purchases increased capacity for testing TDFN 2.5 millimeter square parts, we bought a new tester for our smallest packages, which are 1.1 millimeter square, or less than five one-hundredths of an inch an equipment to help process die, which our unpackaged wafer pieces that are even smaller than our packaged parts. We recently began an expansion of our production areas to allow for growth. We currently have about 5000 square feet of production and test base including clean-room space. The expansion will convert approximately 1800 square feet of offices and labs to production about 33% increase in production space. We currently plan to finish this expansion phase late this quarter or next quarter. We expect most of the expenses associate with its expansion phase to be covered by a tenant improvement allowance of approximately 214,000, which was part of the extension to our building lease that we signed in 2007. This expansion phase will also clear the way for -- to expand our clean-room space when we need too, although we don’t have a specific schedule or budget for that next expansion phase. 10-K reports include a five year financial summary. Some highlights, revenue more than doubled in fiscal 2010, compared to 2006. Gross profit margin increased more than 20 percentage points from less than 50% to more than 70% of revenue. Operating income increased more than five-fold and net margins increased 15% to 43%, and our stock price increased to 183% versus 10% for the NASDAQ industrials index. With that, I’ll turn it back to Dan for his perspective on our business.
Daniel Baker: Thanks Curt. I’ll cover products, promotion and distribution, R&D, patents and review fiscal 2010. Starting with products, our mission is to use spintronic to make practical products with real world advantages. Consistent with the admission in the past quarter, we introduced several new products targeted what’s called controller area networks, commonly abbreviated CAN or CAN. CAN is a standardize network used in cars as well as in industrial control systems. In industrial systems CAN is used as part of what’s called device net to transmit information between factory automation system such as industrial robots. In cars, CAN is used to interface to sensors and other automotive system interconnect. Our couplers’ high speed and low signal distortion make them ideal for CAN because they allow faster communication and more subsystems on the bus. Specifically our products have significant advantages over competitive parts and signal distortion figures of [merit cog], propagation delay and pulse skew. Our couplers are also smaller than other devices. We introduced two new products in the past quarter designed for CAN. First, the line of bidirectional couplers called the IL721 and second called the IL41050. It’s an isolated transceiver that combines spintronics coupling with CAN network protocol functions and a single three-tenths of an inch by four-tenths package. Four of them fit on a first class postage stamp. We see near-term applications for the new CAN parts in industrial control systems, and longer term we see a potential market of cars, especially hybrid and electric cars, which have a larger need for networks than conventional cars. As we’ve said before, our long-term growth strategy is to expand into larger markets such as automotive electronics. Hybrid and electric cars need demand for a large number of batter cells because batter voltages can be several 100 volts, isolation is needed to transmit signals from the batteries to the controls. This quarter we planned to introduce an even smaller version of the IL41050 isolated transceiver in a 0.15 inch by 0.4 inch package, which is after size of the product we introduced last quarter. There is more information on our new CAN products on our websites nve.com, isoloop.com and new gateway cantransceivers.com, and other of our products one of our industrial censors that fits on the head of a pin was named the Product of the Month for April 2010 by the German trade magazine, Construction and Engineering. Both the company and our distributors have aggressively promoted the new products with our customer visits, direct mail, advertising, emails and editorial initiatives. As Curt said, industry inventories might be tight and we are seeing evidence of shortages, so we have been reaching out to our competitors customers to point out that not only our parts better, but we have them in stock. Turning to product distribution, we look for distributors that are smart and energetic in the past quarter we announced the new distributor for our coupler products [WorldPoint Korea], WorldPoint affiliates have done a good job as our distributors and parts of Europe for many years and recently expanded to Korea. Our distributor’s model allows us to leverage our own staff with many more feet on the street and these products are available in more than 75 countries and the Korea addition reinforces our position as global leader in sensor and couplers. Our products have been promoted at two important tradeshows in Germany this month, the Power Conversion Intelligent Motion exhibition is going on now and we are represented their by our distributor high line power components. Later in May, we’ll be at the Sensor Test Exhibition hosted by [Highline] Sensor Tech. Germany is a strong market for industrial control and factory automation and it is very good market of us. As Curt noted, fourth quarter contract R&D revenue was the highest, it’s been in five years. As we’ve said before the continuation of many of our contracts is contingence on meeting project goal. Our R&D staff has done a great job on these projects. We focused our contract work in areas that are strategic to us in terms of future growth and revenue potential, two long-term strategic development areas we have discussed include magnetic compassing sensors and MRAM. We’ve talked about our third area biosensors before, as I mentioned call, we’ve completed the biosensor development and we are supporting a plant introduction of clinical analyzer in less than two years. The goal of our solid state compass development is determined and heading direction by using low field spintronic tunnel junction sensors to measure the angle of the earth magnetic field. Since our last call we have continue to make progress on prototype, we continue to be optimistic about the potential, although it’s impossible to predict when we might see sales. Another long-term strategic development area is anti-tamper for MRAM. MRAM is an integrated circuit memory, which is fabricated with nano technology and uses electron spine to store data. MRAM may have the potential to combine many of the best attributes of different types of semiconductor memory. Anti-tamper technologies and demand for defense, aerospace and commercial applications. Our anti-tamper technology use MRAM intellectual property we’ve developed over the years and expensive technology in specialize know-how we can eventually bring them to on large scale MRAM. Therefore, we continue to invest a significant amount of R&D on MRAM and related technology. I mentioned last quarter that we were in the process of adding MRAM foundry wafers. We’ve tested wafers and we’ve demonstrated switching memory bits, although fair amount of development remains before production. We continue to strengthen our patent portfolio. In the past quarter we had one U.S. patent granted and received notice of allowance for another. The patent we were granted is titled Superparamagnetic platelets steel sensing devices and discuses a marvel sensor for magnetic field. Possible applications reference in the patent include digital memories and magnetic sensing devices. We also receive notice of allowance of a patent titled Cross-Point Magnetoresistive Memory which relates MRAM. And notice of allowance is a written notification that patent application has cleared, a patent officer review and is nearing issuance. Like much of our intellectual property, the Crosspoint Memory invention was made with U.S. government support in that case the missile defense agency. This is an example of the value created by our government contracts and under federal legislation companies normally may retain the principle worldwide patent right to any invention develop with U.S. government support. The Cross-Point Magnetoresistive Memory patent application was published in the past quarter and is available on the U.S. patent office website or via our website. There is also a link to the Superparamagnetic platelets patent from our website. We have a number of pending patents and published applications and those are also available from our website. As we begin fiscal 2011, I’d like to summaries highlights from a very successful fiscal 2010, record revenues, product sales and earnings, and year when many semiconductor component companies reported significant decline. We received patent relating to couplers, field sensors and biosensors. We introduced world class products including new CAN couplers and more products that fit on the head of the pin. We expanded distribution in Central Europe, Eastern Europe, China and Korea, and our stock price increased more than 50%. We were recognized with several prestigious awards and accolades for the past fiscal year. For example, our performance earned NVE placed on Forbes’ two most recent list of the 200 Best Small Companies in America. Our growth qualified us with the latest fortune small business list of America’s 100 fastest growing small public companies. Our return on revenue rank first among the 100 largest public companies in Minnesota, according to Star Tribune list published last month, and our product innovation earned one of medical product manufacturing uses top products of 2009. There are links to these and other awards on the awards and accolades page of nve.com. Now I’d like to open the call to questions. Joe.
Operator: (Operator Instructions) Our fist question comes from Steven Crowley with Craig-Hallum Capital.
Steven Crowley - Craig-Hallum Capital: Good afternoon, gentlemen.
Daniel Baker: Good afternoon, Steve.
Curt Reynders: Good afternoon.
Steven Crowley - Craig-Hallum Capital: First of all congratulations on a great quarter.
Daniel Baker: Thank you.
Curt Reynders: Thanks.
Steven Crowley - Craig-Hallum Capital: In terms of some follow-on questions, you gave us a lot of commentary in the prepared comments. But to dug a little deeper, the new CAN products are very interesting. It sounds like the immediate target is the industrial control marketplace, but these things, this piece and parts are very prepare for what’s going on in auto land. What do you have to do with setting up distribution and distribution partners to effectively go after that new market of auto?
Daniel Baker: Well, that’s a good question, Steve, because it is a different distribution models than we have now, auto companies generally don’t buy through distributor, so we’re looking at either next year suppliers that would be suppliers who have a relationship with automotive companies and we’ve been successful with those types of partnerships in the past. And the other things that we need to do is to demonstrate reliability and certifications that are specific to automotive industry, so the automotive industry has wider temperature ranges. We believe our products are well suited for that because they are very durable and withstand very high temperatures just by their nature. So we’re going to be doing some testing, some qualification, certification those types of efforts in order to demonstrate reliability of the products in harsh automotive environment. We’re going to be working on distribution and distribution partnership. And in the mean time, we see a near-term market for the CAN parts in industrial control systems and that will allow us to get some, hopefully get some potential sales in the relative short-term to build some volume and to demonstrate the reliability of those parts.
Steven Crowley - Craig-Hallum Capital: In terms of the follow-on on those products, in terms of the opportunity for you in the industrial control space, is it displacing other products that you’ve been selling into that space or just an incremental opportunity?
Daniel Baker: Well, we have been selling some of our legacy IsoLoop products into that market. So primarily would be bidirectional isolators because CAN is a bidirectional networks. So, one needs to have an isolated signal going one way to transmit data and then the opposite direction to receive data. So we have a part that use in that market, the new part – one of the new parts that I mentioned, the IL721 has a more convenient layout for circuit’s boards are commonly use industrial controls. So we believe that that will help us in that market. And then what customers had to do, what engineers had to do with those products was to use someone else transceiver, a non-isolated transceiver. So our parts might have been used in combination with someone else transceiver. This allows us to capture more value and to reduce the parts count on the circuit board. So there might be some small amount of cannibalization, I suppose the products that we are already selling in that market, but we think that the opportunities far our way, any cannibalization that we might have, this are going to be higher value added products before 1050 anyway, it’s a higher value added product than the isolators, the bidirectional isolators like the IL712 the older product.
Steven Crowley - Craig-Hallum Capital: Yeah. It would appear and it sounds like if you are including an isolators transceiver then you’re building materials, its going to be much higher given that content, so you gladly cannibalize a legacy part.
Daniel Baker: Yeah. Yeah. Exactly. Exactly. Because we are selling the transceiver function and then for our customers that reduces the chip count because the entire packages fits, as I said, fits easily on a postage stamp and they don’t have to deal with several parts, a number of components to make up an isolated CAN system.
Steven Crowley - Craig-Hallum Capital: And then a couple of questions as to landscape items, probably affected you, I’m trying to get a feel for how you navigate at the street. There certainly has been some noise and dislocation amongst the various players and product with the management, with some product issues by one of the managers. Do you think they had any pronounced impact on your performance in the March quarter, or has any real ramification for you here in the June quarter?
Daniel Baker: That’s – that really, it’s hard to say, it’s, there is some uncertainties surrounding the CRM market. But long-term, the demographics are favorable as people get older. We tend to need more pace makers and ICDs and hearing aids of that matter. So looking at long-term we see, it as an excellent market, short-term as you know there are privation some of them help us, some may not. But what we see it is, we certainly see it is an excellent market and just from a broad view point if healthcare reform or other initiatives make more medical devices available to people, that’s a good trend and that’s a good trend for us.
Steven Crowley - Craig-Hallum Capital: So far have those variations in the March quarter, were you able to walk through some of the landscape items and navigate them well, qualitatively even and how would you respond to that?
Daniel Baker: Well, what we, I guess, what, Curt said, in the prepared remarks was the strong sales into the medical device markets more than offset weakness in the industrial market. So we had a strong quarter and fiscal year for medical devices, and so in that sense, we are fortunate to have some diversification into the medical business. It was challenging industrial market. I think, we considering the conditions, we are pleased with our results in industrial market, as well as, the medical market. But we highlighted the medical market as a strength.
Steven Crowley - Craig-Hallum Capital: I would think given timing of your fiscal year, the biggest challenges in the industrial marketplace, I’d assume would have been earlier in the year when things starting to recover in build as the year progress, is that right picture for us to have?
Daniel Baker: Yeah. That’s probably, that’s probably true, it’s hard to pin it down with too much precession, because these are kind of broad trend. But, the industrial market started to recover by some accounts early in the calendar year and early 2010, and that’s challenging for us but also provided us with some great opportunities. As Curt mentioned, we might have benefited from industry shortages and inventory as the industry recovers, it takes most companies awhile to build capacity and to fulfill that demand. And we tent to maintain relatively high inventories, compared to other companies in the semi conductor industry, so that we’re better position to meet demand when it picks up and we highlighted that with some of our promotional collaterals pointing out that we have great parts first and foremost, but also that we have good lead times in parts and stock. So the recovery of the industry provided us some excellent opportunities in this quarter, in the most recent quarter.
Steven Crowley – Craig-Hallum Capital Group: Final question for me during this round and then I’ll hop out and let some other folks ask. In terms of the industrial markets that are more important to you, if I look at the landscape, it seems like you have quite a bit of exposure to maybe some later cycle stuff, some more heavy industrial factory floor stuff that maybe hasn’t been as much of a participant during the earlier innings of industrial/economic recovery. I guess, I’m just asking for a little bit of an acid test on that statement.
Daniel Baker: That maybe true what others in the semiconductor industry point out is at least in this recovery consumer electronics which would be things like handsets and computers, laptops, cameras things like that tend to lead industrial or durable goods. And we’re more in the durable goods or what you described as heavy things, white goods semiconductor manufacturing equipment, automotive manufacturing are examples where our products tend to be used. So that tends to recover later than consumer electronics or at least it has in this cycle. But I think by most account that segment of the industry is also recovering pretty nicely.
Steven Crowley – Craig-Hallum Capital Group: Well, thanks very much for taking my questions and I’ll hop back in the queue.
Daniel Baker: Thanks Steve.
Operator: Our next question comes from David Wu with GC Research.
David Wu – GC Research: Good afternoon. I actually -- only two questions. Number one, regarding the lead times, can you give us general feel for what the lead times are and also the manufacturing cycle time. That’s my first question and then I have follow-on the MRAM part of the story. Can you give us the idea about lead times that you are coding and how is the manufacturing cycle there?
Daniel Baker: As far as the lead times on our catalog products which would be products that are standard products that we would sell through our website or distributors would sell through theirs, our goal is to have as many parts as possible in stock. So the lead time then would be immediate delivery, well depending on the time of day the order is placed we would try to ship those the same day. Our distributors also have a very good track record of having parts and stocks and immediate delivery. Did you keep price to themselves on having a very high percentage of the parts but they carry in stock for immediate delivery and do they an excellent job of getting them out same day or within a day. So lead times of course, for higher volumes or for certain other parts can vary. You asked about the production cycle time. What we try to do is keep adequate inventories of raw materials such as foundry wafers or other wafers. So that we can quickly turn parts in to term wafers in the package parts. So there are number of times in that cycle but we endeavored to try to reduce it is much as possible with work in process raw materials, inventories. Some times we can have wafers that can go into various types of products what we call here archived wafers and that allows us some flexibility to respond to demand relatively quickly. The packaging cycle so we have wafers done. The time that it takes us to get those parts packaged typically in Asia get them back here, get them tested is usually around a month.
David Wu – GC Research: Thank you. But basically you have wafers on handy, only thing is those are kept in with and packaging test (inaudible)?
Daniel Baker: That’s right and we don’t always have wafers in that state. We try to have mostly parts in finished goods but just to give you some idea of the cycle time that would be the cycle time.
David Wu – GC Research: Okay.
Daniel Baker: I guess -- I’m sorry, so the second part of your question.
David Wu – GC Research: No, no. That’s the first question.
Daniel Baker: Okay.
David Wu – GC Research: With regard to the second one, which is the number of promising technologies, memory technologies have been talked about as the replacement for DRAMs and FLASH memory down the road and I was wondering as the MRAM. What have to happen for it to emerge as the front runner on the replacement of this current -- dynamic memory and the FLASH memory?
Daniel Baker: Right. Well, for MRAM to seriously compete with mainstream semiconductor memories such as FLASH or DRAM, the density would have to go up considerably. There seems to be some progress on that front. There are production in prototypes are getting bigger. There are reports on MRAM programs by several major companies at industry conferences. So certainly work is progressing, one of the promising technologies or sub-technologies of MRAM is -- has been momentum or it’s been transfer MRAM. We have technology in that area. We have several patents in that area but that allows for higher density sales by reducing the power density in each cell. So the cells are more thermally stable, they can be smaller. They require a lower lead current and that allows them to stay a lot more. So the scaling seems to be the thing that would allow for MRAM to become more in the mainstream use. In the mean time though, we continue to work on developing MRAM, smaller MRAM that we think we can build ourselves for specialize applications such as anti-tamper which I mention and not only thus that give us technology that we think, we can make and hope to be able to sell but it also builds the technology and builds our intellectual property portfolio. That -- and that could be applicable to these larger mainstream memories down the road.
David Wu – GC Research: Okay. I saw a company down in the San Jose, I think, it’s EverSpin, not in San Jose, but in Southern Phoenix, Tampa, Arizona by making 16 megabit MRAM for some battery replacement applications. Would that be something that you folks love to do?
Daniel Baker: Well, EverSpin is a spin off of free scale which was a spin off of Motorola and Motorola was a -- is the licensee of ours. So that’s an example though of the MRAM is getting bigger, the 16 megabit device that you mentioned that they announced that compares to 4 megabit which was there previous, largest device. So we believe that they share our view of a bright future for MRAM and it’s encouraging that they’ve announced the much larger device.
David Wu – GC Research: Okay. Nice. I’ll just go and leave it aside because there are number of other technologies that are on development in the horse rate, sort of, to replace mainstream memory technology, right?
Daniel Baker: There are, it’s a huge market and that attracts a lot of research and a lot of development. We think MRAM has unique advantages and unique potential and we’re continuing to develop it. And we’ve believe that it demonstrated -- the feasibility has been demonstrated the scalability of peers possible and its has unique advantages compared to some of the other technologies in terms of being able to be manufactured and existing semiconductor type fab, in terms of the scalability and as I mentioned spin momentum MRAM allows smaller sale without -- with less concerned about thermal stability. And it has inherent none volatility and inherently unlimited read-and-write potential or endurance. So those are key advantages and we’re working hard to develop the technology in applications for today and applications for tomorrow.
David Wu – GC Research: Okay. If I would have to think about it, should I think about the next two to three years, if you ask it seems on our microns that we now which would be the succeeding technology?
Daniel Baker: Well, that be a better question for them as to what their expectations are but a number of companies as I mentioned have programs in MRAM. I presume, they are doing so because they see it as good potential either for mainstream applications or for significant smaller scale memories. And so I would assume that they are aware of it and the large companies, large memory companies are aware of the technology and depending on the company, may have a program underway of some kind.
David Wu – GC Research: Okay. Fine. Thank you.
Daniel Baker: Thanks, David.
Operator: Our next question comes from the Dick Smith with [O’Buckley].
Dick Smith – O’Buckley: Well, gentlemen, hello, hello. Thank you for taking my questions and comments. First, I just like to start-off with a comment about the company of your size to generate over $30 million in free cash flow over the last three years is really exceptional. And to further emphasize that the company’s cash and marketable securities represents over 84% of total assets today. And I’m sure the board is considering some future distribution in these moneys to its shareholders. However, as a reminder income taxes on any future distribution paid after calendar year 2010 will more than double, in some cases triple because of the expiration of the qualified dividend. On another subject kind of same area, basically in capital management, I wanted to ask Curt first of all, have we exercised any of the purchasing of the treasury stock?
Curt Reynders: We have not at through the end of March, we have not bought back any stock.
Dick Smith – O’Buckley: Okay.
Curt Reynders: The program still is in place.
Dick Smith – O’Buckley: And another question on that also, Curt, and just as a technical question, voting rights on treasury stock, when treasury stock is purchased, does the management maintain the voting rights of the treasury stock or is that shared by each individual shareholder?
Curt Reynders: This then -- the treasury stock basically goes away. I’m probably butchering an elegant counting concept but treasury stocks is retired by the company. So if we were to buyback stock, it would decrease the outstand -- the total shares outstanding, the weighted average shares and therefore would be accretive to earnings per share for the same but there is no voting rights that stock basically is retired or disappears.
Dick Smith – O’Buckley: I see. Okay. I just wanted to verify that because I would certainly like to see the company. I was just worried about an unfriendly take over and whether or not if the company accumulated treasury stock that they can use their voting rights in order to ward off something like that. But I’d certainly like to see the company invest a little bit more in themselves in the treasury stock to increase return on investment portfolio because we have a half cash where we’re sitting on right now. Only question I really have concerning operations is the spacing a government contracts and how much latitude do you have with the government in spacing its contracts over a period of time?
Cur Reynders: You’re talking in terms of whether we can move contracts in or out once we receive them. Is that what you mean?
Dick Smith – O’Buckley: Assuming that its, Dan, whether you see is a long-term strategy to eventually phase out government contracts. How much, as I say, how much latitude do you have working with the government and saying well, I give you a contract and you say well, can we make it over three years rather than two years. Do you have that decision to make in order to space that government contract?
Daniel Baker: I think I understand the question. Well, first of all to your premise, its not our goal to phase out of government contracts. I think over the years we have emphasized more product sales because it’s more scalable, because it provide us a better return on our investments but and perhaps we’ve been more selective in government contracts. We want our government contracts to support areas that are strategic to us that provide us with potential leader build technology, sell products or both. We do have some flexibility on the timing of contracts that’s an iterative process as you might expect if the government or any other customer need something in a particular timeframe because of some other program constraints then we are going to try to do our best with the bounds of reasonableness to meet their requirement. On the other hand, if it’s an unreasonable requirement or we’re not confident that we can execute it successfully then we’ll try to work with them or any other customer to say let’s see what we can to either reduce the scope of the programs, so that we can meet the schedule constraints or allow our ourselves enough time to successfully execute. So government contracts often come with those kinds of constraints where they are needed for some other larger program and then we try to hit that and if we don’t feel that we can at some point, we have to say we can’t -- we can’t bid this because we’re not confident that we can meet your timeframe.
Dick Smith – O’Buckley: Right. Okay, that makes a lot of sense. Essentially just the capital management area, the -- as far as operations are concerned, you gentlemen have done just an outstanding job. Coming from a turnover of century of earning $0.01 and today earning $2.47 diluted is just exceptional, it’s really good and the only areas I say that I really have questions because turning is in capital management and the fact that we have an exercise and find any treasury stock as of yet and I think we have to think about that and investing them in our own future and of course the other things is a substantial amount of cash and marketable securities we have. And could you give me any color on that data as going down to the future because if I had to make an extrapolation in the future over the next three years, we can end up with $100 million in cash and marketable securities, now that’s fantastic but yet, is that really in the best interest of the shareholder as far as whether the shareholder might be able to earn more on that money than actually NVEC Corp. could and investing in short-term debt obligations?
Daniel Baker: Let me take a crack at that and then may be we can move on to other questions because we are starting to run out of time but thanks for your comments and we are certainly proud of our progress and improving our profitability. I think it’s a credit to the value of our products and to the skill in the hard of our employees. And we made as Curt mentioned in his summary, we made some great progress in the past five years and hopefully even better days ahead. As far as the capital management we -- at the board level, we continuously look at opportunities to improve long-term shareholder value. We have a stock buyback program as we alluded to that remains in-force and we are continuing -- we continuously look at ways -- possible ways to improve shareholder value. We also wanted to be sure that we have a very strong balance sheet to present our intellectual property and for other possible contingencies or purposes. So we believe that it’s good to have a strong balance sheet, but we also -- we also believe in prudent capital management. So Joe can we move on to other questions. Operator: Yes, sir. Our next question comes from Ken Farsalas with Oberweis Asset Management.
Ken Farsalas – Oberweis Asset Management: Good afternoon. How are you?
Daniel Baker: Good.
Curt Reynders: Good.
Ken Farsalas – Oberweis Asset Management: You guys have certainly did a very nice job growing product revenue some 15% in fiscal 2010 in the difficult environment. Can you talk in general terms about the business trends that you’re seeing now relative to last year and given the general economic recovery, can we assume that you also should see an acceleration in product revenue growth in fiscal ‘11?
Curt Reynders: Well, in term of the overall trends we’re seeing an improvement in the macroeconomic environment particularly as it relates to industrial market and some -- there is some obvious examples about there is a much brighter picture for Semiconductor capital equipment for example and other areas. So those are positive -- those are positive trends for us. As far as getting too much more specific, we generally try and answer look forward or predict the future what we try to do is allow for growth and success. We -- Curt mentioned our plans to expand our factory and expand our production areas. We maintained inventories so that as markets recover, we can fulfill increased demand and we are continuing to develop new products in much larger markets, market such as consumer, electronics, automotive which I mentioned with regard to CAN product and other areas that we mentioned biosensors as well. So we’re looking at what is the next generation of products in the next market that our technology can be deployed and that open up large market for us and allow us to fill -- fulfill our vision of leading a revolution in spintronics.
Ken Farsalas – Oberweis Asset Management: Okay. And then you mentioned a new R&D contracts and the increased activity on current contracts and you were running like $1.3 million a quarter rate and then it stepped up to 1.5. What kind of R&D contract visibility do you have for 2011 and is 1.5 a quarter a kind of reasonable run rate going forward based on the contracts you have in hand?
Curt Reynders: Well, I think we pointed out our firm backlog as of the end of March was about 1.5 million. And I think the increase we’ve seen over the last couple of years in contract R&D really appoints to some excellent progress and result that our R&D team has had on various contracts. But the amplifier incurs point that backlog we would need to build that backlog or to replace it in order to continue that rate. But as some of you who follow us and have been on our calls before, we generally don’t give forward guidance. So we don’t try to predict what the revenues will be. We’ve given some of the general trends and the things that we’re looking for as a particular areas that we’re doing R&D and I’ve said qualitatively our folks who were doing these R&D projects are just been doing a fantastic job and executing on them and that means more contract and that means followons and continuations and developing an excellent reputation in this market.
Ken Farsalas – Oberweis Asset Management: Okay. Great. Thank you.
Daniel Baker: Thank you. Joe, we probably have time for perhaps one more question.
Operator:
Steven Crowley – Craig-Hallum Capital Group: Hey, guys. Thanks for taking my follow-up. In terms of one of the emerging opportunities that you emphasized with us over the last couple of quarters, you touched on briefly the solid state compost opportunity. I am wondering what if anything has changed in terms of the landscape for your participation in the market, we saw some pretty big numbers out of, kind of, third party independent research, talking about a lot of units potentially in that market in 2013. I am wondering if that opportunity still looks is right for you as it may have looked six months ago. I mean what can you do now to continue to position yourself to capitalize on that?
Daniel Baker: Well, we continue to be optimistic about the potential, Steve and we’ve made good progress as I mentioned the goal. Our near-term goal is to finish prototypes that meet the requirements that we see for next generation compassing sensor in the -- in the handset and related market. So we have demonstrated the feasibility of that but our goal is to have a prototypes that is the right size that has the right power consumption and have the -- has next generation precision in terms of the accuracy of the compassing angle. And that’s our near-term goal and we made progress in the past quarter on fabricating the prototype, prototype wafers and we’ll continue -- our plan is to continue to update that as we go forward. But we still see it as a very encouraging market of the -- as you mentioned independent research has shown that -- as predicted that its going to be a very large market and just the trends that we’re seeing subjectively in terms of more location based services, more phones with navigation systems or applications, their navigation-related or depend on precise navigation. We see it as an excellent market and one way, we have distinctive confidence in terms of precision, power consumption on size.
Steven Crowley – Craig-Hallum Capital Group: And then, in terms of the historical solutions that has served kind of the tip of the iceberg of that market, hasn’t been anything that transpired with either improved performance of those solutions or new solutions come in the marketplace that potentially use serve the opportunity before you can get there?
Daniel Baker: Well, we don’t know of anything. We continue to see great potential for our approach for our spintronics approach. We presume that other people are working on this problem because it’s such a large market but we demonstrated in the past with government programs and other internal R&D programs, the ability to precisely detect the their deals. So we’re talking about a very small change in magnetic field to get the kind of precision that we want to get and we demonstrated that. Our goal is to build prototypes and we feel that if we can hit these specs and our goals and our internal goals and so far we’ve been pleased that there is a market there.
Steven Crowley – Craig-Hallum Capital Group :
Daniel Baker: Well, Steve and so we’ll conclude with that and we -- we’re pleased to have excellent partnerships and certainly that’s one of them. This is a company that knows the handset market, knows the requirement has the context within that market. So it’s an excellent business model and they’ve given us excellent feedback, we believe in terms of what are the products specifications that attribute to the most important to this market. How do they match up with our technology and we see a very good fit. And given us very good feedback along the way is to how to make this a great product, a killer product and so that’s one of the benefits of that kind of partnership. I think that Joe that’s probably all of our time and let me just sum up by thanking you for participating in the call everyone. We’re pleased to report strong growth and record revenue and net income for both the fourth quarter and fiscal year and we look forward to our next call in July to report results for the first quarter of fiscal 2011. Thank you again for participating.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program and you may now disconnect. Everyone have a great day.